Operator: Good morning, and welcome to the Sabre Second Quarter 2023 Earnings Conference Call. My name is Cherie, and I will be your operator. As a reminder, please note today’s call is being recorded. I will now turn the call over to the Senior Director of Investor Relations, Brian Roberts. Please go ahead, sir.
Brian Roberts: Thank you and good morning, everyone. Welcome to Sabre’s second quarter 2023 earnings call. This morning, we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today’s prepared remarks, is also available during this call on the Sabre Investor Relations webpage. A replay of today’s call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the ongoing recovery from the effects of COVID-19, industry trends, benefits from our technology transformation, commercial and strategic arrangements, strategic priorities, our financial outlook and targets, expected revenue, adjusted EBITDA, free cash flow, costs and expenses, cost savings and reductions margins and liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today’s conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our second quarter 2023 Form 10-Q. Throughout today’s call, we will also be presenting certain non-GAAP financial measures. References during today’s call to adjusted operating income, adjusted net income, adjusted EBITDA, adjusted EBITDA margin, adjusted EPS and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Participating with me are Kurt Ekert, President and CEO and Mike Randolfi, Chief Financial Officer. Scott Wilson, EVP and President of Hospitality Solutions, will be available for Q&A after the prepared remarks. With that, I will turn the call over to Kurt.
Kurt Ekert: Thank you, Brian. Good morning, everyone and thank you for joining us today. I am pleased this morning to be joining you to discuss our accomplishments for the second quarter and highlight the upward trend in the underlying fundamentals within our business. In the second quarter, we significantly exceeded our financial expectations and believe this performance is indicative of Sabre’s ability to compete and win in the dynamic global travel technology marketplace. We see positive momentum across our key business segments, that gives us the confidence today to raise our 2023 adjusted EBITDA guidance. We remain focused on the core strategic objectives that we outlined on our conference call last quarter and I am pleased that Sabre is delivering on our priorities. Furthermore, we are on a durable path towards Sabre’s 2025 financial targets of adjusted EBITDA of greater than $900 million and free cash flow of greater than $500 million. Before jumping into the detail of today’s call, let’s walk through the agenda. On Slide 4, you can see an overview of the topics Mike and I will cover. First, I will review our business highlights from the second quarter and then I will take a few moments to describe some of the underlying data that we are seeing, which supports our near-term revenue expectations. Next, I will provide detail on our customer successes during the second quarter and then update the progress of our technology transformation. Finally, Mike will take you through the financial results for the second quarter and provide an update to our 2023 outlook. Turning to Slide 5. As a reminder, these are our four key strategic priorities from the foundation of our long-term direction for the company. As I refer to each priority, I will provide proof points and recent accomplishments from the second quarter that highlight our progress towards achieving each of these objectives. First, generating positive free cash flow and delevering the balance sheet remain our most important financial objectives. Solid operational execution and improving business fundamentals combined to deliver better Q2 results than we had anticipated. As I stated previously, we are pleased to be able to increase our 2023 adjusted EBITDA guidance year-to-date. And we now also expect revenue to be within the upper half of the original guidance we provided on the February earnings call. During the quarter, we also refinanced a significant portion of our nearest term 2025 debt maturities, which Mike will describe in more detail shortly. Importantly, we see Sabre transitioning towards positive free cash flow generation beginning in Q3 of this year and expect to be free cash flow positive in 2023, excluding the impact of restructuring and then annually thereafter. Moving to our second strategic priority, which is to deliver sustainable long-term growth, Sabre once again increased its share of industry air bookings on a year-on-year basis during the second quarter. In addition, excluding the impact of Expedia, our share of GDS industry volumes has improved versus both second quarter 2022 and 2019 levels. Our efforts to expand our business with agencies and new airline partners, continues and is the backbone of the distribution growth strategy that we outlined last quarter. We also achieved significant successes with customers across each of our businesses during the second quarter that we expect will support our growth in the coming years. Our third strategic priority is to drive innovation and enhance our value proposition with both existing and new customers. Our technology transformation remains a cornerstone competitive advantage in delivering our products and services quickly and reliably and in a secure manner to our customers. We achieved our technology migration milestones during the second quarter and remain on track to achieve our longer term financial and operational goals. In addition, we made important strides on several of our growth strategies that we believe will enhance our overall competitive product suite to fulfill our customers’ evolving needs. For example, we expect our acquisition of Techsembly to accelerate our development of key products within hospitality solutions, including speeding our ability to deliver and scale our retail studio product suite, to our hotelier customers. Last, we have now completed the vast majority of the resource realignment and cost reduction program that we communicated last quarter. We are on track to realize $100 million of reduced costs in the second half of 2023 and an estimated annualized $200 million of reduced costs in 2024. In summary, during the second quarter, our team delivered on the priorities we outlined to you back in May and we are laser-focused on achieving our 2023 objectives and executing on our durable path towards our 2025 targets. Now, let’s turn to Slide 6. Underpinning our optimism for solid industry volume growth in the coming quarters is the expected increase in capacity that can be seen here in the chart. The latest global airline schedule suggests seat growth of 15% year-over-year in the third quarter of 2023 and 19% growth year-over-year in the month of October. Industry optimism regarding further capacity growth is being driven by a host of underlying factors, including rising aircraft deliveries to global carriers, further mitigation of supply constraints from labor and training shortfalls, and a healthy yield environment and load factors that indicate demand for air travel remains robust. Regarding business travel specifically, industry surveys indicate that corporate demand is expected to be healthy in the coming quarters. Respondents to a recent corporate travel survey indicated that they expect passenger volumes to grow by double-digits year-over-year in the second half of ‘23 and in 2024. Despite a strong industry backdrop, we have, as we articulated last quarter, conservatively planned for 1 to 2 points of sequential industry volume growth moving forward. And should industry growth exceed this level, we would expect to realize upside to the guidance and targets we have provided. Turning to Slide 7. During our first quarter earnings call in May, we used this table to highlight the increasing share of GDS industry bookings that we achieved in Q1. And as you can see in this slide, our share in Q2 2023 again expanded on a year-over-year basis versus Q2 2022. Importantly, after removing Expedia volumes, Sabre was again a larger proportion of industry air bookings in Q2 2023 than in the second quarter of 2019 and 2022. If you compare Q2 share of industry air bookings of 33.7% to the 34.0% from the first quarter, the slight sequential change was impacted by seasonal shift in the geographic mix of bookings between quarters. Given signed, but not yet converted business and a robust pipeline, we expect that our share of industry bookings will continue to increase as we deliver on our growth initiatives. Please turn to Slide 8. Our team is delivering many successful business wins across both Travel Solutions and Hospitality Solutions, as you can see here on this slide. We continue to realize increased momentum in Hospitality Solutions. Most notably, we recently announced a global agreement with Hyatt, under which our Sabre SynXis central reservation platform will become the main CRS for Hyatt beginning in 2024. Our platform will offer enhanced reservation capabilities and improve the overall guest experience. In addition to the Hyatt agreement, two well-known hotelier brands based in Asia-Pacific, selected our SynXis platform to help combine and streamline their IT infrastructure. In distribution, we were pleased to sign a new agreement with Air Canada, in which Sabre will provide agencies with significantly expanded access to content and offers, including the airlines’ dynamically priced fares and new ancillary services. This agreement provides Sabre with long-term access to all of Air Canada’s content via NDC and represents another important example of a leading airline increasing its level of participation with Sabre. The Sabre Marketplace is a highly efficient place to buy and sell travel content, incorporating NDC offers alongside other content sources. We see NDC and GDS or EDIFACT content as complementary with NDC expanding the breadth of product available in Sabre’s multi-source content platform and enhancing our value proposition to both buyers and sellers. Recently, SAP Concur, which has the largest share of corporate online booking volumes globally shared that Sabre will be its first NDC integration with a GDS provider. During the first half of 2023, we doubled the number of airlines distributing NDC content through the Sabre Marketplace and last quarter additions included United and Aeromexico. And as we previously announced back in May, we were also able to bring Air India back on to our distribution platform, which is supporting our international bookings growth and industry positioning in one of the fastest growing regions for air travel globally. On the agency front, in the second quarter, we signed a significant number of agreements. Examples include a deepening of our relationship with lastminute and a new long-term commitment with Internova, a top 10 agency in North America. In IT solutions, we are pleased with the positive response we are getting from new and existing customers to our intelligent retailing solutions. Sky Airlines, the low-cost Chilean carrier, which is growing rapidly in South America, selected our SabreSonic passenger service system for its core IT needs. In addition, Air Serbia recently renewed its PSS agreement and is utilizing some of the latest revenue-generating solutions that we produce. We expanded our relationship with All Nippon Airways through our enhanced agreement to improve the carrier’s network planning and optimization capabilities for its domestic routes. We also had additional network planning software renewals in the quarter with Air China and Delta among others. Last, we are also realizing very strong growth in our Conferma payments business. However, we do not expect to break out these details for the foreseeable future. In summary, Sabre achieved a number of commercial wins during the second quarter that will help us deliver on our financial goals. I will now move on to our technology transformation. Please turn to Slide 9. Our technology transformation continues to move forward and we achieved several short-term milestones in Q2. As of the end of the second quarter, we have successfully migrated 73% of our total compute capacity to Google Cloud, up from 69% one quarter earlier. Additionally, by the end of the second quarter, we had fully decommissioned all 15 Sabre-managed data centers. We have now also decommissioned 68% of our DXC Tulsa [ph] mid-range servers and are on track to complete the remainder on schedule by year end. The chart to the right hand side of this slide shows the significant improvements we are seeing in our unit cost of compute. Overall, Sabre is on track to complete the tech transformation at the end of 2024 and deliver annual expense savings of at least $150 million in 2025. Now to Slide 10. In May, we announced a resource realignment to improve our organizational structure, lower costs and achieve greater efficiency. We expect these actions to deliver $100 million in cost savings in the second half of 2023 and an additional $100 million in savings in 2024, for a combined $200 million in annualized cost reductions. We were able to complete these actions sooner than we had anticipated and began capturing savings in the second quarter which gives us high confidence in the overall size and timing of these actions. Now on to Slide 11. In closing, we delivered on our priorities in the second quarter, and we will continue to prioritize free cash flow and delevering sustainable growth opportunities, the consistent enhancement of the value propositions that we deliver to our customers and a more efficient organization with a lower cost structure. I will now hand the call over to Mike to walk you through second quarter performance and our 2023 financial expectations.
Mike Randolfi: Thanks Kurt and good morning, everyone. Please turn to Slide 12. The second quarter was a strong quarter for Sabre. We saw industry volume growth in line with our expectations and significantly higher average booking fees compared to Q1 2023 and prior year. As Kurt mentioned, Sabre continues to grow share on a year-over-year basis. Hospitality Solutions generated double-digit revenue growth with a higher revenue per transaction and contributed to adjusted EBITDA generation sooner than expected. In addition, we accelerated our cost reduction efforts, which helped drive strong bottom line results and better-than-expected adjusted EBITDA and free cash flow. Overall in the second quarter [Technical Difficulty] We gained significant momentum and are optimistic for the remainder of 2023 and beyond. Now referring to the slide. As you can see from the table, we exceeded our expectations for second quarter revenue, adjusted EBITDA and free cash flow. Turning to Slide 13. Q2 revenue was $738 million, an increase of $80 million or 12% versus last year. Distribution revenue totaled $530 million, a $99 million or 23% increase compared to $432 million in Q2 2022. Our distribution bookings totaled $90 million in the quarter, a 12% increase compared to $81 million in Q2 2022. Our average booking fee was $5.87 in the second quarter, up 10% from Q2 2022. We continue to realize favorable mix into more profitable regions and types of travel, resulting in higher booking fees, and we believe that further growth in international volumes should support our booking fee at this level for the foreseeable future. IT Solutions revenue totaled $140 million in the quarter, this was a $27 million decline versus revenue of $168 million in the comparable prior year period. Passengers border totaled $172 million, an 8% improvement from $160 million in Q2 2022. Second quarter revenue growth from passengers boarded and other IT Solutions business was more than offset by the impact of $29 million in lower revenue from demigrations, the vast majority of which was the result of the impact of changes in Russian law. Hospitality Solutions revenue totaled approximately $77 million, a $10 million or 16% improvement versus revenue of $66 million in Q2 2022. The 16 points of revenue growth was driven by 8 points of central reservation system transactions growth and 8 points of higher rate per transaction. Hospitality Solutions performed significantly better than our initial expectations and has generated $1.5 million of adjusted EBITDA on a year-to-date basis. While our initial expectations was that Hospitality Solutions would be breakeven for 2023, we now expect Hospitality Solutions to be a meaningful contributor to adjusted EBITDA going forward. Adjusted EBITDA of $73 million in Q2 2023 versus $24 million in Q2 2022, represented a $49 million improvement year-over-year. Free cash flow was negative $57 million in the second quarter, including the impact of restructuring charges, which was better than our prior guidance for a range of between negative $60 million and negative $80 million, including restructuring costs. During the second quarter, we paid down approximately $48 million of term loans from the proceeds of the Air Center sale. This amount was lower than our $80 million expectation discussed on the last earnings call due to the acquisition of Techsembly and additional capital investments. We ended the second quarter with a cash balance of $727 million. Before moving to guidance, let’s discuss the actions we took during the second quarter to begin refinancing our 2025 debt maturities. The private facility financing we completed in June, when combined with the successful tender offer on the majority of our April 2025 bonds helped de-risk our balance sheet by reducing a significant portion of our nearest-term bond maturities. In addition, we believe the option to defer cash interest on this facility in favor of payment in kind provides substantial optionality and flexibility to our balance sheet, and we expect to utilize this feature of the facility for the foreseeable future. With regards to the remaining 2025 maturities, our intent is to refinance our obligations with a focus on efficiency and flexibility. Moving to Slide 14 to discuss our guidance. We expect third quarter 2023 revenue of approximately $725 million, adjusted EBITDA of approximately $100 million and positive free cash flow of approximately $20 million inclusive of restructuring. If you exclude the restructuring impact, we would expect positive free cash flow of approximately $50 million. With regard to sequential trends, we expect Q3 revenue to be slightly lower than Q2 driven by typical seasonal differences between the quarters. The primary driver of the expected sequential improvement in adjusted EBITDA in Q3 to approximately $100 million from $73 million in Q2 is a near full quarter impact of our cost reduction efforts. And on free cash flow, we expect to generate approximately $50 million in Q3, excluding the impact of restructuring due to the sequential improvement in adjusted EBITDA and a typical favorable seasonality in working capital dynamics. As a reminder, our mandatory preferred shares will convert into common equity on September 1, 2023. Following this conversion, our share count will rise approximately 47 million shares and our $5 million payment on September 1 will be our last quarterly dividend payment on these shares. We expect fourth quarter 2023 revenue of approximately $700 million, adjusted EBITDA of approximately $110 million and positive free cash flow of approximately $70 million inclusive of restructuring. Excluding restructuring, we expect positive free cash flow of approximately $85 million. With regard to sequential trends, as noted, we expect Q4 revenue at approximately $700 million to be roughly $25 million lower than in Q3 driven by typical seasonality in air distribution bookings. As a reminder, and as discussed on prior earnings calls, the fourth quarter typically generates approximately 10% fewer air distribution bookings than the quarterly average for a given year. Despite sequentially lower revenue in the fourth quarter versus the third quarter, we expect a sequential improvement in adjusted EBITDA in Q4 to approximately $110 million from $100 million in Q3, driven by the full realization of our cost reduction efforts. And on free cash flow, we expect to generate approximately $85 million in Q4, excluding the impact of restructuring due to the sequential improvement in adjusted EBITDA and typical favorable seasonality in working capital dynamics. Sabre’s fourth quarter has historically been a seasonally strong period for free cash flow driven by timing of when we receive partner receipts in the fourth quarter versus when we make agency payments in the first quarter. For the full year 2023, we now expect revenue to be within the upper half of the original revenue guidance range provided on the February earnings call and is now expected to be between $2.9 billion and $3 billion. In addition, we now expect higher adjusted EBITDA for the full year 2023 of approximately $340 million, above our prior guidance for adjusted EBITDA of between $300 million and $320 million. We believe the favorable revenue performance we have seen in the second quarter and the cost actions we have already taken support the higher adjusted EBITDA guidance. While we are very optimistic about the potential for air distribution industry volume growth, we continue to conservatively base our projections on a 1 to 2 percentage point sequential improvement going forward. Also, as noted on our prior earnings call, we expect to be free cash flow positive for the full year 2023, excluding the impact of restructuring. Included in our assumption for free cash flow in 2023, our restructuring cost of approximately $70 million and capital expenditures of approximately $80 million. We increased a portion of our investment spending to support development of certain strategic growth initiatives such as our multi-sourced content platform, including NBC and hospitality solutions. We will continue to focus on consistent improvement through product optimization and expect that it will allow us to proactively meet the needs of the evolving travel marketplace. We expect capital expenditures to be in a similar range as 2023 in future years based on this increased investment. We also now expect approximately $375 million in cash interest cost for the full year 2023. Additionally, our working capital initiatives are on track and we expect to generate at least $125 million in positive cash flow benefits this year from these actions. The second quarter was a meaningful step forward towards the strategic priorities that Kurt highlighted earlier. We continue to believe the company is on a durable path toward achieving long-term targets of greater than $900 million in adjusted EBITDA and greater than $500 million in free cash flow in 2025. And with that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Josh Baer with Morgan Stanley. Your line is open.
Josh Baer: Great. Congrats on the upside and the EBITDA performance and improvement for the year. Question on the air bookings, the recovery versus 2019. If I’m looking at it right, it improved 90 basis points from Q1. Just wondering like any puts and takes in the quarter and how that compares to the 1.5% ramp that’s assumed going forward?
Kurt Ekert: Josh, thank you. What we’re seeing in Q2 and frankly, in the early part of Q3 is consistent with the guidance we provided last quarter, which is 1 to 2 percentage points of sequential quarterly growth versus the prior quarter, that’s relatively consistent between leisure and corporate. We are seeing some improvement in Asia relative to where we were early in the year. And we do expect, as we articulated at the growth going forward, has a good chance to be better than that number, but we have planned or forecasted conservatively to be on the safe side.
Josh Baer: Okay. Got it. And I know you spent some time reviewing some of the commercial wins across all businesses. I was hoping you could focus on PSS and just wondering if there were any notable PSS wins or losses to highlight?
Kurt Ekert: Yes. Thank you, Josh. I articulated in the prepared remarks, some of the wins or benefits that we have seen through the period. Overall, when you look at IT Solutions, we have stabilized the business. We are now investing in leading next-generation retailing solutions to drive long-term growth in this portfolio. And we feel very good about the future prospects for this business.
Josh Baer: Got it. I guess just to ask directly, like investors definitely wondering about Amadeus mentioned 25 million passenger PSS win, does that represent a competitive replacement? Thank you.
Kurt Ekert: Thanks Josh. We are – like our competitor bound by confidentiality, we do believe this references a current Sabre customer. I would note the revenue impact for this carrier is very small on an annual basis with a de minimis EBITDA impact. And I should note that as we have disclosed before, should JetBlue be successful in the transaction, they are pursuing with Spirit, that volume will begin to come on to Sabre next year.
Operator: Thank you. [Operator Instructions] And that will come from the line of Victor Cheng with Bank of America. Your line is open.
Victor Cheng: Great. Good morning, and thanks for taking my questions and congrats on a very solid quarter. Two, if I may. And just going back to the point on quarter-on-quarter improvements, obviously, roughly within your 1 to 2 percentage points improvement. But can you give us some color maybe by region as well, where you are seeing growth. Obviously, if we look at Amadeus, they improved 3.4 percentage points this quarter, which is quite a bit higher than you – I know you got Air India contracts well in this quarter, kind of what are some of the puts and takes for this quarter by region and some of the wins and losses you might have. Thank you. And I have one more follow-up.
Kurt Ekert: Yes. Thanks Victor. It’s important to note that when we look at this, what we are not doing is we are not talking about the seasonality quarter-on-quarter. We are talking about sequential percentage improvement in the marketplace. That is compared on a year-on-year basis. And so we don’t talk about seasonality. We understand that you project that and understand that very well. What we are going to do is talk about quarterly progression and in our share performance. As we indicated during the prepared remarks, our share performance continues to outpace our competitive peers, and we are seeing sequential improvements quarter-on-quarter. The greatest improvement on a quarter-on-quarter basis, if you look at it versus Q1 was certainly in Asia Pacific that’s recovering at an elevated or better basis. And then we see relative improvements across the board. [Technical Difficulty]
Mike Randolfi: Significant strength on a sequential basis on a year-over-year basis that was driven partly by strength in our national markets, as Kurt mentioned, both APAC and then also Europe. And in general, the booking fees tend to be a little higher in those regions. And so that provided a really good tailwind on our average booking fee. And we generally see that mix continuing as we move forward.
Victor Cheng: Thank you. That’s very good color. And follow-up on maybe the hospitality and think about Hyatt and the two other deals that you alluded to. Can you give us a bit more color on the economics, the contribution? Obviously, you said Hyatt as the main CRS and your implement ‘24, but I guess we should only see material contribution by ‘25 and how do you quantify it on revenue side and kind of how we think about implementation costs and margin contribution as well?
Kurt Ekert: Yes. Thanks Victor. We are really excited about the Hyatt win. It augments the enterprise portfolio, and that will go on, as we said, on to the Sabre SynXis platform. You can expect to see Hyatt come on through 2024. When you step back and look at the HS business overall, what we have articulated before, this is another proof point to that, which is that you are going to see double-digit revenue growth in HS this year and beyond. You will see HS achieve double-digit margin production by the end of next year. And of the $150 million of growth initiatives that we articulated last quarter, that you will see benefit us ‘25 versus ‘23, we believe HS will be $50 million of that $150 million, meaning HS will deliver $50 million of EBITDA in 2025. So, we feel great about what this does. We don’t break out the economics of any individual customer deal. But Hyatt is clearly one of the leading brands of the world, and we think this is quite strategic and financially accretive to this business.
Operator: [Operator Instructions] And our next question will come from the line of Dan Wasiolek with Morningstar. Your line is open.
Dan Wasiolek: Hey. Good morning guys. Thanks for taking the call and nice execution this quarter. So, just kind of following up, you mentioned corporate travel. And just looking at some of the hotel operators, they talk about SME having already kind of fully recovered in developed markets, but corporate travel is still lagging. Is this – how should we think about this when it relates to the GDSs – do the GDSs tend to have more of that larger corporation mix? And as you talk about those budgets may be opening up and being a governor, how does that kind of play out between what the hotel operators are seeing versus the GDS?
Kurt Ekert: Yes. Dan, thank you. So, I suggest you look at it a couple of ways. Number one is managed corporate travel and that change is based on geography. But figure corporations that spend more than $2 million, $3 million a year, where typically procurement is running travel as a category. You are right, that has recovered relatively more slowly, we believe that SME or unmanaged corporate travel has recovered. Unmanaged travel tends to go predominantly through travel agencies, but there is a portion of that goes in supplier direct versus managed corporate travel tends to go almost entirely through intermediaries, through TMCs, through corporate booking tools effectively through the GDS providers. So, as corporate travel continues to recover in the future, that truly accrue predominantly to our business. The other thing to look at interestingly is I think everybody puts the North American lens on this. China, for example, is a larger corporate travel market domestically than the United States, meaning there is a tremendous amount of corporate travel that originates ex-U.S. And that has recovered relatively more slowly than travel in North America has. So, we believe there is significant upside in the non-U.S. points of sale as well.
Mike Randolfi: And the only other thing I would add is if you look at the yield environment at airlines, which has been very, very strong over the last year, 18 months, you have seen some moderation in yield more recently. And as you think about that from a corporate travel perspective, if corporate budgets on travel are relatively fixed, what that allows for is more segments and more bookings for that same amount of dollars. And we think that has the potential of benefiting us in a moderating yield environment.
Dan Wasiolek: Okay. Makes sense. And if I could just ask one more kind of on a different topic here. But you kind of gave some information how to think about the revenue per booking. But what about – how should we think about the revenue per passenger boarding. And I think, obviously there was the Russia call out, but that looked like it was maybe down a little bit sequentially. Just any thoughts there or anything to call out, and how we should think about that moving forward?
Mike Randolfi: Sure. Obviously, the driver of the year-over-year decline that we talked about was attributable to the demigrations, the vast majority of which was associated with changes in Russian law. The way you should think about our revenue – our Airline IT Solutions revenue per PB is roughly half of that is fixed based on products we sell. Roughly half of it is variable and correlates directly with PBs. So with that mix, given roughly half of your revenue per PB is variable, as PBs grow as they have done this quarter, you are going to see that result in a lower average revenue per PB just because the PBs are growing, and it only represents about half of the revenue per PB.
Dan Wasiolek: Okay. Great. Thank you.
Operator: Thank you. I am showing no further questions in the queue at this time. I would now like to turn the call back over to – actually, we do have a question from Jeff Harlib with Barclays. One moment.
Jeff Harlib: Yes. Following your successful refinancing of a portion of ‘25, how are you looking at addressing the remaining ‘25 maturities with respect to timing and options. Obviously, if you perform better, you will have better economics, but how are you looking to 703 [ph] is in the converts?
Mike Randolfi: Yes. Thanks for the question. First, let me just recap a little bit around our thoughts to the refinancing that occurred this quarter. As we pursue that financing and achieved and completed that financing, there were a few objectives that it helped to achieve. One, obviously, it took out about a third of the 2025 maturities. It also was intentionally focused on the April maturities within 2025, so really extended by a couple of quarters. Our required refinancing window to the back part now of 2025, and also the optionality with the PIK option, we believe gave us really good flexibility. What I would expect is – and we are not going to answer specifics with regards to refinancing, obviously, given the sensitivity around that. But what I would say is you are going to see us continue to focus on taking advantage of market opportunities with a focus on efficiency and flexibility and keeping in mind the perspective of our stakeholders, and that’s how we are going to pursue it going forward. But you should expect us to, in the not-too-distant future, be focused on addressing the remainder of the 2025 maturities.
Jeff Harlib: Okay. And just on the revenue per booking, is the improvement you saw in the current quarter, is that sustainable, or should that move around, or do you think it’s going to be a steadier uptick from here?
Mike Randolfi: Yes. So no, thanks for the question. A couple of things to unpack the average booking fee. As you look at the sequential improvement, there were really two drivers, and these have been the trends over the last 12 months. One is we have seen a favorable regional mix, as we have talked about, and we have seen international, both in APAC and Europe continue to perform better than they have had, and that’s been very supportive of average booking fee. The other thing is as we drill down and we look at the mix of carriers and we look at the mix of bookings, it’s a more favorable mix. And when we are looking at the underlying trends, we really see both of those trends continuing. And so we would expect the average booking fee to remain roughly in this range for the foreseeable future.
Jeff Harlib: Okay. Great. And last question for me, just IT Solutions. You have talked about new business coming on and you were lapping some losses. I mean how do we – how do you see the revenue trajectory going forward in that business now?
Mike Randolfi: Yes. As you look at the $140 million this quarter, as Kurt had mentioned, we have stabilized that business. With that being said, I would expect just a very small tick down sequentially going from Q2 to Q3, but generally in the range that we are in right now.
Operator: And thank you. I am showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Ekert for any closing remarks.
Kurt Ekert: Thank you and thank you again for joining us this morning. We appreciate your interest in Sabre, and look forward to speaking with all of you again very soon. Operator, that concludes today’s call.
Operator: Thank you. Thank you all for participating. This concludes today’s program. You may now disconnect.